Operator: Good day and welcome to the Sonida Senior Living Fourth Quarter and Full Year 2023 Earnings Conference Call. Today's conference is being recorded. All statements today, which are not historical facts may be deemed forward-looking statements within the meeting of the federal security laws. These statements are made as of today's date and the company expressly disclaims any obligation to update these statements in the future. Actual results and performance may differ materially from forward-looking statements. Certain of these factors could cause actual results to differ are detailed in the earnings release the company issued earlier today, as well as the reports in the company files with the SEC from time-to-time including the risk factors contained in the annual report on Form 10-K and quarterly reports on Form 10-Q. Please see today's press release for the full Safe Harbor statement, which may be found at www.sonidaseniorliving.com/invest-relations and was furnished in an 8-K filing this morning. Also, please note that during this call, the company will present non-GAAP financial measures. For the reconciliations of each non-GAAP measure, from the most comparable GAAP measure, please also see today's press release. At this time, I'd like to turn the call over to Sonida Senior Living CEO, Brandon Ribar. Thank you. You may begin.
Brandon Ribar: Thank you, Rob. Hello and welcome to our 2023 fourth quarter and full year earnings call. I'm joined today by Kevin Detz, our Chief Financial Officer. Earlier today, we posted our 2023 earnings and investor presentation, which will be referenced throughout this call, as we discuss our strategic priorities and operating results, for the year as well as our focus on growth in 2024. You can find our latest presentation at sonidaseniorliving.com in the Investor Relations section, if you would like to follow along. In addition, we've included supplemental earnings information within our investor presentation, consistent with the prior quarter release. Our results in 2023, not only paved the way for growth in 2024 and beyond, they reinforced the strength of our Sonida culture and our collective leadership teams. Our strategic focus on building exceptional teams, across each operating and support discipline, delivering value to our residents and our local team members, and translating those efforts into real margin improvement, through operational excellence resulted in the strongest year-over-year performance improvement in the company's recent history. I could not be prouder of each team member across the Sonida family. We achieved more than 10% revenue growth on a same-store basis, and even more importantly, doubled our adjusted EBITDA year-over-year from $17 million in 2022 to $34 million in 2023, while delivering outstanding care and services, to our residents across the country. Additionally, the company delivered cash flow from operations exceeding $10 million in 2023, a $13 million improvement from 2022. I'm incredibly thankful for the contributions from the entire local, regional, and central support teams. The balance required to increase the recovery trajectory on revenue and margin, complete significant restructuring of the balance sheet, raise additional growth capital, and position the platform for long-term expansion, is reflective of a high-performing management team ready, to continue building something special. We emerged today free from going concern language in our financials, with capital available to invest in our portfolio, and pursue external growth opportunities. I'll focus my comments today on a few of our 2023 company accomplishments and provide further detail on Sonida's goals for an exciting growth phase over the next 18 to 24 months. Kevin will provide greater detail on our operating results and key financial achievements in 2023. Most important to our strategic plan, we continue to invest and develop leadership, across each of our disciplines. Over the past year and a half, we've changed the culture of the organization, by empowering key regional and local leaders. This cultural transformation has resulted in 100% retention of our regional operations and sales leaders and improved our community leadership retention, by nearly 10% year-over-year. Our business only thrives with, first and foremost, the support and buy-in of our team. We completed significant investments in our real estate portfolio and expanded the number of units to meet an increasing demand for memory care services in two key markets. Additionally, we invested in multiple technology solutions to support ongoing improvement in resident safety and experience, while enhancing our operational efficiency, to manage the cost of operations moving forward. All of these efforts, are foundational to our plan, to build a differentiated operating platform that delivers value through operations, real estate ownership, and meaningful investment opportunities in the senior living space. Let's now look at the various levers for Sonida's organic and inorganic growth in 2024 and beyond, detailed on Pages 19 through 22, of the investor presentation. Within our existing portfolio, which remains our primary focus, further margin expansion through rate and occupancy growth stand at the forefront. Our rate increases on existing rental contracts were effective, for nearly 80% of our private pay residents on March 1 of 2024, and thus far, attrition rates related to affordability, remain in line with expectations. One of our 2024 goals centers, around driving occupancy improvement in a handful of underperforming assets that account for 40% of all vacant units. A combination of shifting sales focus, further capital investment where appropriate, and heightened outbound marketing are being deployed to accelerate the recovery of these communities. Our team is not only focused on addressing lower performing communities, but also enabling our strongest performing communities, to reach their full potential. During the fourth quarter, more than half of our portfolio averaged occupancy of 90% or greater, with these communities consistently achieving the highest marks in customer experience and employee engagement. We believe that over time we can drive portfolio-wide occupancy in excess of 90%. These expectations align well with current industry trends, new supply at a 10-year low, high construction costs, and the constrained availability of affordable financing. Continued investment on our clinical and resident programming, will further support these growth efforts. Our clinical teams and residents, have recognized immediate benefit with the arrival of our Chief Clinical Officer in Q4. The addition of a talented, experienced leader, will further expand our clinical offerings and tailor our services, to the needs of our residents. Our clinical focus in 2024, is highlighted by retention and further development, of our local clinical leadership and ensuring, the effectiveness and consistency of our local processes, to proactively identify changes in resident health requiring action. We expect further margin expansion, driven by continued operational improvements, specifically additional rate and occupancy growth, combined with utilization of our labor management technology, and protocols to contain cost inflation. Additional capital investments in the $3 million to $4 million range, will fund conversion or opening of approximately 100 additional units in 2024. We anticipate a 12 to 18 month payback on these investments based on our experience with similar capital projects over the last two years. Shifting to external growth opportunities on Slides 20 to 22 of our investor presentation, we highlight the profile of communities targeted for acquisition. The various sourcing channels currently offering accretive investment opportunities, and the versatility we bring as a balance sheet investor, JV partner, and premier operator. We continue to focus on the Midwest, Southeast, and the South as primary markets, to further densify our existing footprint, targeting newer construction, multi-product communities serving the upper middle, and high-income resident base. Our programming created, to bring joyful living to our independent and assisted living residents and our trademark Magnolia Trails memory care program, will support operational improvement in newly acquired communities. In the current environment, we see opportunistic investments as most compelling, and are focusing largely on underperforming, but quality assets at significant discounts to replacement costs. While these assets may be cash flow neutral, or negative up front, Sonida identifies situations where our systems and processes can structurally improve margin, as well as quality of care and resident experience, and we anticipate stabilizing at double-digit NOI yields on costs. We believe that the financial success of a community, is first and foremost dependent on having a strong local leadership team, and key to our success is the hiring and retention of great talent that together with Sonida's tools and programs, are able to stabilize challenged assets. We expect to capitalize on three primary avenues of inorganic growth, acquisitions, joint ventures, and third-party management. We will enter into third-party management agreements selectively and strategically, and on acquisitions and joint ventures are focused on disciplined deployment of balance sheet capital, at high rates of return and in assets that have strategic, or qualitative benefits to our portfolio. We see a growing opportunity set to partner with lenders and existing asset owners who are seeking fresh capital and new operators to enhance recovery value on their portfolios. One core principle, is focusing on regional densification where we are able to benefit from our scale, implement our full suite of labor management tools, and thus grow our portfolio without costly recruiting and without meaningful changes to G&A. Market volatility continues with owners, operators, and capital providers reaching key decision points, and Sonida continues to engage in discussions, to identify potential near-term opportunities. With approximately $18 billion in senior living debt maturing in 2024 and 2025, based on the latest NIC data and capital availability remaining tight, Sonida is positioned to provide value as an operator, owner, and investor in the current market. As of today, we have clear visibility on transactions including more than 700 units with expected closing dates in the second quarter of 2024. These potential transactions include outright purchase, joint venture ownership, and third-party management, all in key markets targeted for expansion. We look forward to sharing additional details, as the transactions are finalized in the coming weeks and months. The Sonida transformation driven by operational improvement and significant balance sheet restructuring and de-levering efforts, can best be summarized on Slide 10 of our supplemental investor information. The pro forma capitalization table reflects a debt structure, with attractive interest rates and minimal debt maturing until the end of 2026, combined with significant equity value in the business. In summarizing, our year-end 2023 performance and 2024 outlook, we remain optimistic about the industry as a whole and the Sonida platform. The ongoing retention and development of our leadership teams and the effective rollout of new resident programming and technology, remain paramount to continuing the growth trends achieved in 2023. Our team is excited to continue building a best-in-class operating platform to achieve the full potential in each of our 71 communities while expanding our footprint through strategic and accretive growth opportunities. I'll now turn it over to Kevin for discussion of the financial results.
Kevin Detz: Thanks, Brandon. Expanding the discussion around the company's performance and balance sheet, let's jump back to Slide 6 of the investor presentation. Before I dive into the numbers, I want to take a moment to recognize the incredible work and commitment, by the team over the last 18 months. In early '22, the company was at a critical inflection point and having just recapitalized and still working out of the devastating impact from COVID-19. In less than two years, the company has carefully rebuilt its corporate support team and culture, with the injection of new contributors and leaders, to write the next chapter of the company. The company's finance and accounting functions, have quickly evolved from a group of hired contractors, to best-in-class professionals serving as business partners, to our incredible operations team. I am extremely proud of the collective success attained and look forward to continued evolution, as the company executes on its strategic growth plans. Finally, I would be remiss if I did not thank our business partners and lenders, particularly Fannie Mae and Ally Bank for all their support, creativity, and temporary flexibility, as the company is poised to soon realize all-in cash flow generation. Over the course of the last nine months, we have made incredible strides in addressing our debt and overall capitalization. To summarize, the company temporarily modified its liquidity covenants, under the Ally term loan to provide runway required, to execute a material restructuring of the economic terms in its Fannie Mae mortgages. During the fourth quarter, the company entered into a purchase and sale agreement, to acquire all remaining loans on its protective life portfolio. The purchase price represented a 48% discount of the total indebtedness of $77.4 million. In February 2024, the company closed on this transaction and concurrently financed $24.8 million, of the loan purchase price as part of its existing term loan, with Ally Bank. As a result of the modifications made to 56 of the company's 60 community loans, management has meaningfully improved cash flow, leverage ratios, and term across its debt portfolio. Specifically, the company extended its average remaining loan term to 3.7 years and de-levered the company by $55 million since January of 2023, including a $5 million paydown in connection with the Fannie Mae modification. The foundational work on the company's debt, which is further highlighted on Slides 10 through 12, instilled confidence in Sonida's largest investors, leading to the offensive private placement raise executed last month, which in large part has been earmarked for growth in 2024. From a financial reporting perspective, the debt and equity transactions have allowed the company to address any risk associated with its end-of-year cash balance and its ability to continue as a going concern. As further - disclosed in today's 10-K and accompanying auditor opinion on the financial statements. Despite continued macro inflationary pressures, management reduced G&A as a percentage of revenue and adjusted to include stock comp and one-time transaction costs from 11.8% to 10.5% on a year-over-year basis. Rounding out Slide 6 and addressing some of our performance highlights on Slide 8 and 9, I'm pleased to report continued occupancy and rate growth. Beyond the year-over-year occupancy increase of 160 basis points, and with an eye towards 2024, we are encouraged by achieving an average occupancy of nearly 86%, for the last quarter of the year. On the rate side, we realize the benefit of aggressive, but responsible rate optimization. RevPOR increased 10% year-over-year and should further expand in 2024, with the company having successfully migrated, to a resident-wide March 1 rate renewal anniversary. Comparing year-over-year margins, the company expanded its NOI margin by 520 basis points, or 460 basis points on an adjusted NOI margin basis, which excludes the one-time impact from state grant receipts. For the fourth quarter of 2023, annualized NOI and margin were $66.8 million and 27.4% respectively. These figures include non-recurring credits recognized in connection, with one-time real estate tax settlements and workers comp true-ups as a result of the most recent actuarial reports. Excluding these non-recurring credits, effective NOI margin for the quarter, was 25.7%. Diving deeper into revenue growth drivers, we move to Slide 14. The company identified two primary initiatives, as part of its revamped revenue management process, aimed at better aligning our revenue model, with the increasing cost of care for our residents. First, we successfully raised base resident rates by 8.3% year-over-year. Second, through the simplification and formalization, of our Assisted Living Level of Care program, we were able to capture an additional $1.9 million in care revenue. Expansion of tech-based clinical labor productivity pilots in '23, will set up the company to further capture the true clinical cost of resident care, and related revenue in 2024. Diving into more of the margin drivers, we will move ahead to Slide 15, to discuss year-over-year labor trends. We are extremely pleased that in this tight labor market and hyperinflationary period, we have been able to control our labor costs. Total labor, excluding benefits, moved from a '22 high mark of 47.5% of revenues to just under 46% in 2023. Contract labor, which decreased nearly $6 million year-over-year, continues to be limited to a handful of communities where market-specific labor constraints persist. In 2024, the company is focused on optimizing labor hours, to meet the real-time needs of our residents, amidst higher occupancy levels, which should support a lower incremental cost per resident. Through our technology partnerships and internally developed labor dashboards, we are also focused on addressing, the premium labor cost base, which remains an industry headwind coming out of COVID. Premium labor was $9.5 million for the year, and includes the cost of shift bonuses, overtime, and spot bonuses that would otherwise be replacements, for lower-rated employee salaries and wages. Moving ahead, to all other expenses on Slide 16. As a percentage of revenue, our non-labor expenses have decreased 300 basis points, from 30.5% in '22 to 27.5% in '23. Despite the headwinds of elevated inflation over the same period, management implemented various strategic and tactical initiatives discussed on previous calls, to create a non-labor base that should provide for incremental margin, on both expanded occupancy for same-store communities, as well as inorganic community acquisitions. Moving on to Slide 17, you'll see some presentation changes from prior earnings calls, to reflect the favorable pro forma impact on our leverage profile as a result of the protective life loan purchase completed last month. As a result of the February 2, transaction, our debt is comprised of 72% fixed rate debt, with the remaining variable rate debt fully hedged, yielding a weighted average interest rate of 5% for the portfolio. Most importantly, the company continues to execute on its long-term strategy of de-levering the balance sheet. Finally, as of today, the company is in compliance with all financial covenants required under its mortgages. In summary, the company continues to be encouraged by the consistent improvement, across all significant KPIs over the last 12 months. The expected continuation of revenue and margin growth, combined with the company's modified debt structure has Sonida firmly positioned to take advantage of both organic and inorganic opportunities in the marketplace, to drive shareholder value in 2024. As Brandon detailed in his comments. Back to you, Brandon.
Brandon Ribar: Thanks, Kevin. 2023 was a transformational year for Sonida. We achieved significant performance milestones, while accomplishing key strategic objectives, and delivering industry-leading care and services, to our residents. These achievements included balance sheet optimization, through the comprehensive restructuring and modification of our debt, and culminating in the $47.75 million equity private placement, that closed in the first quarter of 2024. The operational developments and greatly strengthened balance sheet established Sonida, as a differentiated operator, owner, and investor in senior living, and positioned the company to capitalize on near-term dislocation, which will drive the next chapter of value creation, for our shareholders. Rob, please open the line for questions at this time.
Operator: Thank you. [Operator Instructions] We do have a question from Steve Monroe with Levin. Please proceed with your question.
Steve Monroe: Hi, guys. Good going. Great progress. I might have missed it, but did you say what your current occupancy is as of today, as opposed to end of fourth quarter?
Brandon Ribar: We did not, Steve.
Steve Monroe: Okay. Can you disclose that or no?
Brandon Ribar: We can't at this time.
Steve Monroe: Okay. All right. And any kind of forecast of where you, think it might be at the end of the year, which you're hoping to get to?
Brandon Ribar: Yes, Steve. We're not providing guidance at this time. I think, you know, we are our goal is to continue to see progress similar to, as we did in 2023. So, we think that as we referenced the March increases, came through without any material concerns, around attrition on that front. So, I think we'll be in a position, to provide additional numbers here in the near future just around, how Q1 is playing out as well.
Steve Monroe: Okay. And then the Q2 acquisitions, or joint ventures or whatever do you're expecting to close in Q2, is there anything in the pipeline for the rest of the year after that?
Brandon Ribar: There's a significant pipeline at this point in time, Steve. We're excited about all the opportunities that, we're taking a look at. So those units represent just things that we have under LOI currently, and that excludes all the other things in the pipeline that we're looking at, for the remainder of the year, as well as the second quarter.
Steve Monroe: Okay. And then for any acquisitions, do you have any lenders in mind that you're working with, or not that far yet?
Brandon Ribar: I think we have a couple of different options. And so, there are cases where the lenders want to continue to stay in the transaction, and are offering financing from the, that's based on the existing structure. And then we also have relationships with, our existing banking partners and others interested in what Sonida has been accomplishing that are building a relationship, with us that also are offering opportunities, to finance deals moving forward. So it's both seller financing and existing banks staying in, and then new opportunities as well.
Steve Monroe: Okay. And how did you get your real estate taxes, to go down by a million dollars? That doesn't happen with me?
Kevin Detz: Yes, I think that was all part of the tactical initiatives that, we rolled out when the new management team got here. And so, that was just kind of a hard scrubbing of all the accounts. And part of what we did was consolidate our vendor relationships and look for favorable pricing that way. And so, I think it was really aggressive monitoring, and even litigation at some point that, ultimately got us all those one-time credits that, will effectively run rate in the form of lower taxes, moving forward in the out years.
Steve Monroe: All right, well, that's good. That's all I got. Thank you.
Brandon Ribar: Thank you, Steve.
Kevin Detz: Thanks, Steve.
Operator: There are no further questions at this time.
Brandon Ribar: This concludes today's conference. Thank you all for participating.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.